Operator: Welcome to the Black Diamond's Third Quarter Results Conference Call. (Operator Instructions). I would now like to turn the meeting over to Ms. Tara Sukut. Please go ahead Ms. Sukut.
Tara Sukut: Good morning everyone before we begin I would like to remind everyone that in the interest to providing listeners with information regarding Black Diamond Group Limited, including management’s assessments of the future plans and operations of Black Diamond. Certain statements made on this call will constitute forward-looking statements. All such statements other than those of historical fact, which address future plans, activities, events, outcomes, results or developments that Black Diamond anticipates or expect may occur in the future should be considered forward-looking statements. Listeners are cautioned not to place undue reliance on these forward-looking statements, as they are subject to numerous risks and uncertainties, certain of which are beyond Black Diamond’s control. As a consequence actual results may differ materially from those anticipated in the forward-looking statements. Information of risk factors that could affect Black Diamond’s operations and financial results are included in Black Diamonds annual information form and other reports are filed with the Canadian securities regulatory authorities. Now Trevor Haynes, President and Chief Executive Officer of Black Diamond Group, and Mike Lambert, Executive Vice President and Chief Financial Officer will lead the call. Please go ahead Mr. Haynes.
Trevor Haynes: Thank you, Tara. Good morning. Thank you for joining us today to review our results for the third quarter of 2014.We have in the room other members of our senior executive team, Troy Cleland and Steven Stein who will be available in the second half of the call to answer questions specific to their operating units. We also have Jason Zhang, our Investor Relations Senior Analyst here with us and we thank him for his efforts and final day with Black Diamond here. In today's call I will begin by briefly reviewing our highlights for the quarter following my remarks, Mike will provide some additional commentary on the financial results for the period and we will then open the call to questions. We’re pleased to report a strong third quarter, we’ve experienced year-over-year growth with revenue and EBITDA of 84.8 million and 34.2 million up 8% and 4% respectively. We believe this growth is being driven by our long term focus on high performance while mitigating risk through diversification and products geography, customers and partners all while continuing to earn an attractive return on capital deployed. Our long term philosophy around capital allocation and the risk adjusted returns we generate for our shareholders remains unchanged along the same vein, we believe our current valuation on both an earnings multiple and dividend yield basis provides an attractive return. Accordingly, Black Diamond has purchased 1.5 million shares under our Normal Course Issuer bid to-date at an average price below $20.88. We also continue to see opportunities in our markets to deploy organic growth capital in a generally non-speculative manner. Our 2014 capital budget of $121 million is fully committed with a large portion attributable to our new 1244 person camp near Dawson Creek, British Columbia announced during the summer. This project remains on track with first rent anticipated in January of 2015 and full rent coming on stream in April. At the end of the third quarter we had expended $73 million with $81 million of firm commitments for additional capital expenditure over the next six months. We therefore believe that the full $121 million, 2014 CapEx budget will be expended in this year. Further we have announced an initial 2015 capital budget of $85 million of which approximately 35 million is already firm committed. We will assess additional capital investment opportunities as we get better visibility on how 2015 will unfold. As I said earlier, we have not experienced a slowdown in our sales people and we will continue to pursue opportunities for growth in a disciplined manner ensuring continued strong returns for our shareholders. While we recognize the resource industry is in a complex and challenging commodity price environment our core strategies and principles have been successful in the past and will allow us to continue to grow our platform into the future. We see a number of attractive opportunities in project renewals and for new capital which leads us to believe we’re increasing our market share. I'm now pleased to turn the call over to Mike who will add some additional commentary to our financials.
Mike Lambert: I would like to repeat that the results for our third quarter represent a record with continued year-over-year growth as the company generated revenue and EBITDA of 84.8 million and 34.2 million respectively. This represents a year-over-year increase of 9% and 4% again respectively. Our EBITDA margin was 40% down slightly from 2013 due principally to a change in sales mix. Our total fleet count was another record at 1344. Our structures business unit generated third quarter revenue of 49.1 million and EBITDA of 29.7 million. On a percentage basis margins were consistent with the prior year. Our fleet continued to perform well with utilization for our camp assets at 81% for the quarter while space rentals utilization was 78%. We existed the quarter with just under 11,900 beds roughly flat on a year-over-year basis. Within our space rentals business our unit count grew to 3492 representing an 8% increase versus the comparative quarter in 2013. In our logistics business unit, revenue and EBITDA grew 39% and 35% to 23.9 million and 5.8 million respectively. This was driven by higher activity levels in a number of camps and by an increased number of beds under management which grew to 3291 up from 3035 last year. Energy Services revenue was essentially flat compared to year ago levels as 6.7 million while EBITDA was down slightly to 2.2 million from 2.5 million. Utilization for Energy Services drilling accommodation and surface rentals 58% and 32% respectively. In our international segment revenue was 5.1 million compared with 4.7 million last year. This was driven by used fleet sales as existing customers opted to buy asset that were previously unmet [ph]. EBITDA for this segment was 1.6 million in the quarter. Utilization averaged 51% compared to 81% last year. Now moving to our balance sheet, we exited the quarter with long term debt of a 121 million net of cash implying a net debt to EBITDA ratio of 0.8 to 1 on a trailing 12 months basis. We continue to believe our balance sheet leaves the company well positioned to capitalize on incremental growth opportunities of significance such as potential work on large scale LNG projects. Now regarding our ongoing share buyback program that was initiated in October and as Trevor. We purchased 1.5 million shares at an average cost of $20.88. Under the Normal Course Issuer bid we’re authorized purchase up to 3.7 million shares which represents 10% of the issued and outstanding shares not held by management and directors. Now for those of you who are financial modelers, I would hope a reduction of only 2 million shares. Even with the share buyback of say just 2 million share, our balance sheet remained strong. Based on our outlook for 2015 for both EBITDA which I will come to in a minute and CapEx we expect our net debt to EBITDA to end the year near one time. However we may continue the (indiscernible) through opportunistically to buy more shares, the 2 million I talked about. Now in terms of management's outlook for the fourth quarter, we believe that EBITDA should roughly mirror prior year levels. Our current estimate for the full year 2015 is for continued modest, year-over-year growth in both revenue and EBITDA. And with that I will now open the call to questions.
Operator: (Operator Instructions). The first question is from Greg McLeish from GMP Securities. You may now proceed.
Greg McLeish - GMP Securities: Can you maybe just discuss some of the U.S. initiatives that you’re working that could maybe enhance growth into 2015?
Trevor Haynes: We’re continuing to see growth in our U.S. platform and as we have mentioned previously a reasonable percentage of our capital deployment currently is going into our U.S. space. We’re seeing general activity for our modular space business along the Gulf Coast as we have seen recovery in the commercial and industrial construction market specific to the Gulf Coast refining and so that gives us some positive bias towards specialty modular and major projects for modular and then we have also seen growth in the well side [ph] accommodation platform on the U.S. side. We will be able to speak more extensively about that as we go into 2015 and have a track record as that platform shows some growth and revenue and EBITDA. But we’re generally positive in terms of our team's ability to grow market share in the U.S. marketplace and we’re investing alongside of that performance from the team.
Greg McLeish - GMP Securities: And just a question on your EBITDA guidance for Q4, in the last quarter in Q3 -- sorry Q4 last year you did have a severance charge in there. Should I be normalizing the EBITDA for that severance charge or including the severance charge in that EBITDA number?
Mike Lambert: Unfortunately and I should say I think that question is pretty predictable. We have given our guidance for this year, we aren't normalizing it. So we’re essentially saying take last year's EBITDA as reported and we’re tracking to that level.
Greg McLeish - GMP Securities: And then can you just maybe just discuss some of the projects that we will be cycling off and the opportunity for renewal?
Mike Lambert: It's a number of projects that we’ve been working on for camp accommodation business that would be kind of in say play that we have done a lot of our business and also some opportunities in Eastern BC that we referenced there.
Greg McLeish - GMP Securities: When you’re looking at in the Conklin area, I mean this contract should be pretty sticky, shouldn’t it?
Trevor Haynes: We have got a number of our facilities that have been on rent for the better part of two years, near the end of their term up for renewal. We have recently a high degree of confidence that they will be renewed in place given that the projects are continuing and once you’ve your assets in place and the projects are continuing as you mentioned there is a stickiness to it. The customer at their expense would be required to disassemble and return those assets to our terminal and that’s fairly pricy. So when we look at the contracts up for renewal in the (indiscernible) area in specific we have a high degree of confidence that they will roll over, the ones that are at contract term end are continuing on a month to month which runs on a 90 day roll over process with us while we negotiate the renewals. And the renewals rates again the next question to come would be, are we seeing price pressure. We anticipate that we would renew at constant pricing to where we were operating on the first contract.
Greg McLeish - GMP Securities: And just one final question, you have got an $85 million capital budget, that excludes anything from LNG. What would the delta if LNG moves forward in the first half of next year?
Trevor Haynes: You’re right, we have let LNG out of our capital plan and that doesn’t mean anything with regard to our view on LNG, in fact we have a positive bias towards LNG advancing next year, or the first major project advancing to FID at some point in 2015. The difference it makes in our platform, we believe we’re very well positioned and if we’re successful in securing a reasonable portion of that work then it would demand additional capital from our system. We’re tracking the first LNG project in total number of beds we believe is somewhere around 14,000 and so if we were -- to plan for that and it get delayed or not occur then we could potentially have a big delta. What we have purposely done though is make sure that our balance sheet is strong and we have the flexibility, so we believe where we sit today that we’re, A, well positioned commercially working with those projects providing what we think are very high value solutions to their housing requirements and that we have an execution plan in place and the balance sheet to be able to support that. So there is nothing about our system that would preclude us from being able to transact and undertake that work. We have just let it out of the planning to be and this capital budget that we have announced in order to be much more conservative and to show a base case of what the business looks like without LNG.
Operator: Thank you. The next question is from Dana Benner from Alta Corp Capital. Please go ahead.
Dana Benner - Alta Corp Capital: Well I guess I wanted to start with a question on your guidance, it's good to see, certainly given how hard account space [ph] has been hit across the board. I guess the one thing that sticks out to me though is notwithstanding the reaffirmation of guidance of your general thinking which goes a little ways back. I also note that the number of or your amount of contracted revenue I think is down 16% here sequentially, so how do you square higher sequential guidance, higher year-over-year modest year-over-year growth in your guidance and yet lower contracted revenues.
Trevor Haynes: Yes the contracted revenues are down Q2 to Q3, what is not included in that contract revenue is the Dawson Creek camp. So we don’t bring contracted revenue in even though that contract is signed, we added to the backlog that we report when we go to rental commencement, so that will add back in significant amount to our contracted revenue and in addition to that the facilities we’re talking about that we’re at our near their the end of their term that we have a high degree of confidence will be renewed. Those are -- have not been added obviously to the guarantee contract term. So, over the next 30 to 60 days there is a likelihood that we will be replenishing with those renewals and then we will also be adding the Dawson Creek camp to that contracted revenue number. So what we’re seeing is it is a gap but we have got visibility to rebuilding that number.
Dana Benner - Alta Corp Capital: So then if you were to look out over the next two quarters and you were to focus on that metric here probably not used necessarily forecasting contracted revenues but presumably we would see that maybe bottom this quarter and start to move higher than assuming that that all comes to pass.
Trevor Haynes: Right, we put that number out there as an indicator of baseline stability and most of that contracted revenue is rental as the operations are shorter term, operations around construction etcetera. Included is any minimum guarantee on full turnkey. But we believe that’s a good indicator of baseline of activity and so looking at the erosion from Q2 to Q3 initially there is some concern there but then when we match it up against what's known such as the Dawson Creek camp and our confidence around facility renewals. We believe we bridge back into both the same number over the next couple of months and I think that chimes with our guidance that we’re seeing modest growth and a good stable baseline.
Mike Lambert: And just to add to a little timing. So Dawson Creek won't come on stream till the New Year and so I think your assumption that it will bottom up in the fourth quarter is a good one and a lot of increase in the first quarter.
Dana Benner - Alta Corp Capital: Just looking at the utilization in the workforce part of your business down 5% sequentially, 86 to 81 anything we should be reading into that or is that just a blip or does that indicate maybe a slightly weaker market?
Trevor Haynes: Well our expectation in managing the platform anywhere between 80% and 90% utilization on any of the fleets is right in the range that we would anticipate and we float within that. We do have some higher density dorms that aren't private washroom which are a bit sluggish on utilization that has a modest effect on utilization and then as the new fleet is being added it's invariably the private washroom format which is the industry norm at this point. And then we have a little bit of variance in different parts of the market. Troy do you want to expand on that at all?
Troy Cleland: Yes there is, to Trevor's point couple of asset process that aren't performing strongly as the other ones but there were 1 or 2 projects that would have come off in the quarter which is the significance of that drop but I think overall. We look at that as anything over 80 is healthy and knowing what we have in the queue especially with the Dawson Creek camp, that’s added into the calculation because it's not technically on-rank [ph] yet.
Trevor Haynes: We’ve, I guess similar to the backlog, in terms of contracted revenue. We have visibility to bridge a softer utilization and over the next or currently and over the next couple of months yet until we get to the assets being on rent, Dawson and some of these other projects coming on stream.
Dana Benner - Alta Corp Capital: If you look out to next year and let's ignore LNG for the moment, however contributory that could be to your other results. What do you think the markets big issue is right now as the camp space, is it a general feeling that it's a sloppy market and not just with oil going down and maybe say some of the oil sands related demand pulling back but with contract or with camps coming offline either yourselves or competitors and just a general worry that there may be far too much supply next year, is your assessment that that’s the major worry?
Trevor Haynes: Well at the macro the worry I believe is tied to commodity prices and whether that’s in the Australia marketplace with the iron ore, coal prices or here in Western Canada with oil and gas and current operating levels across Western Canada and U.S. based since it's fairly strong. I believe the market is looking beyond and seeing uncertainty of what our customers resources, developers, capital programs look like and if slowdown in capital programs equates to an overcapacity in many different service sectors one of which would be the camp business. What we focused on is -- what we’re being asked to do and what we’re hearing from our customers and currently the projects that we’re engaged with appear to be continuing and we’re asking those questions of our customers and the answer at this point are reassuring. The marketplace we’re in we believe has a couple of subsectors, one of which is manufacturing, compared against systems that have manufacturing capacity. We aware that backlogs in manufacturing are shorter than what they have been and we believe there is more competition in filling that capacity and price pressure. We’re also aware that some areas of the lodging business where the camp business is running more like hotels and specifically north of Fort McMurray has capacity such that the operators are reducing rate to get occupancy which is normal course in managing those type of assets and so we do see some price weakness there. However in the dedicated construction camp business we’re working on our customer site directly in exited projects, those areas where we’re working. So the Fort McMurray primarily and up into the North Western Alberta area and into DC as well as down on the Rockies for rig support. We’re seeing I don’t know if I would call it robust but we’re seeing a very steady demand for work and sales pipeline which is what we’re focused on and responding to. So getting back to the macro, perhaps you’re in a better position to assess where commodity prices go and how that affects capital budgets of our resource developers. We will continue to focus on being well contracted, having good assets and for the sticky part of our business where we’re on good projects that will continue to develop.
Operator: Thank you. The next question is from Andrew Bradford from Raymond James. Please go ahead.
Andrew Bradford - Raymond James: I'm just going to get back to the utilization, I appreciate the answers provided so far. And I guess Trevor one of the comments, there is variances in different parts of the market and then there is also asset classes variances in utilization across asset classes particularly lower and the higher density dorms. So first of all with respect to the different parts of the market, or different regions, was there a particular region where you see the utilization lower? And I know it's within your target range but it's also an 81% is one of the lower numbers you’ve reported in quite a few quarters so it does sort of stand out and it will be helpful to understand if there was any particular camp or region where you saw that weakness?
Trevor Haynes: Well to start with when you talk more along the lines of geography this is where it crosses the space rentals platform. For a while our BOXX U.S. and BOXX East Platforms have shown softer utilization but in terms of, but that’s not so much the case when we’re talking about camps. It's predominantly, an older style dorm that we got in our fleet that have doesn’t meet the current standards and some of that reflects on the overall utilization of the workforce accommodation utilization.
Andrew Bradford - Raymond James: Okay so it's based on that sort of structural change and we should instead of taking what has been over the past few quarters, 85% to say 95% utilization we should not be thinking 80 to 85?
Trevor Haynes: We believe blends upwards, what it is the weighted utilization. So we use the value of the asset under and the utilization of that. So the other assets as they depreciate have less of an influence on the fleet utilization. So, what our utilization indicates is how much of our capital is at work, which we think is the accurate way of looking at it. If we went with the simple utilization and how many pieces are working at a snapshot it time, we would be a few percentage points higher, we would actually be higher yes. So some of it has to do with assets that are in the system but not yet gone to work and so we do as we bring assets into fleet there is often a gap before they go on rent and that can influence our utilization and that is the case for the camps business in our U.S. part of our business where we have been bringing on assets, the new assets into certain states require inspect and so there is a delay before they go onto work. I think about 2% of our utilization is affected by that phenomenon and is in fact higher than what you’re seeing in our numbers because we’re using it more conservative weighted utilization. So, if you are trying to get a gauge of how concerned we’re at the 81% versus the 85% previously and whether it's a trend indicator that may mean we have to lower rates to get excess assets to work but that’s not where management's mindset is right now. We believe this is within the range of expectation in managing a fleet has to do with some new assets coming on, not yet at work. The way we calculate utilization and then we do have and maybe an influence of one 1% or 2% or probably around 2%, the older format dorm which doesn’t meet trade labor guidelines at this point in time. So they need to work in other markets or be sold into other markets. So all of that is just part of being in the asset management business and nothing about it is of great concern to us at this point. If we were to draw a line for you over the next couple of months, we think there is perhaps a little bit of pressure 1 or 2 percentage points and then it begins to come up again as we take in the Dawson Creek and a couple of other projects that are coming on and the U.S. assets go to work which wait aside for that to occur as well.
Andrew Bradford - Raymond James: And then maybe not to get overly fixated on utilization and if we were to just look at the rental revenue trajectory which is maybe a 1 million or so year-over-year, that would be reflect the same pattern that you just described in your anticipation of utilization?
Troy Cleland: I think that’s accurate. I guess just one thing to add to what Trevor said is, we see that 80% to 90% is rather healthy in our platform. You know comparing it to a year or two ago when we actually saw some levels of 93% to 95% those are the extremes the other way. So we still look at that as being healthy, and yes the overall increase of rental revenue is positive and we look at that as well.
Trevor Haynes : And the rental -- will track the utilization profile which suggesting it will go modestly into the first part of 2015 based on assets coming in and our visibility on projects.
Andrew Bradford - Raymond James: Just related to point number one, additional question there, if we just look at today's or the third quarter's asset base and then the rental revenue that you extracted out of that, you drove out of that asset base and then drive that for a couple of quarters, would you anticipate that the rental revenue will be fairly consistent say two quarters out? That way we excel Dawson?
Troy Cleland: I'm sorry, what was that last part Andrew?
Andrew Bradford - Raymond James: That way we can -- kind of looking at the same store sales base so we could excel Dawson.
Troy Cleland: I think it's a good assumption, take the existing run-rate if you want to call it. Assume no increase in assets and that’s a good way to model it.
Andrew Bradford - Raymond James: And next question is, I understand from the preamble here that you anticipate expending the full $120 million budget in calendar '14 and if that’s the case -- like what are the large projects that anything you want to highlight in terms of large projects between now and the end of the year?
Trevor Haynes : The project that takes the largest percentage of the CapEx in the balance of the year here is the Dawson Creek camp which will come on rent on January 1. So the difference in our estimating where that CapEx would come in late this year versus early next year has to do with being conservative in previous periods that a larger percentage of the spends for those capital assets would occur in the beginning of 2015 whereas based on that projects current critical path, we believe that it will substantially be the capital investment, well it will be substantially be expended in this calendar year. That can be the biggest impact.
Andrew Bradford - Raymond James: And last question I promise here is that I just want to compare the bid log that you’re looking at today? The pipeline that we prefer to every once in a while, if you were to excel all the LNG related work in that bid log, how would that book compare to what it might have been this time last year.
Trevor Haynes: Talking a bid pipeline is always a little bit awkward for us because obviously we don’t disclose exactly what it is so we reference it in general terms and I would say in general maybe Steve -- I would say it's consistent to where it was last year even with LNG. There is still good number of projects across the geographies that we operate in from smaller lodge [ph].
Steven Stein: Yes, one thing we’re pleased with is our major customers are holding true to form and not cutting back on spend and our major areas, our major focus those clients are actually expanding. So that helps us a lot. There is talk of energy, there is talk of lots of infrastructure project. So with the northern, we’re as you know we’re not much into northern (indiscernible). So the projects we have in Conklin, North Eastern BC, North Western BC, our North Western Alberta remains strong.
Andrew Bradford - Raymond James: This is my last question, do you perceive that some of the traditional players in the northern oil sands market are becoming a bit more aggressive in the bids where you’ve historically held fairly high market share?
Trevor Haynes: Well we have always seen competition amongst the handful of players in the large camp segment. So, I wouldn’t want to portray it that we have been alone in the 811 corridor without any competitive tension. What we look at is where there is some excess capacity, some of those facilities we believe are not overly mobile where you get into the multistorey, where the real estate is often owned outright or ground lease with underground services etcetera. So some of the excess capacity is less able to move into our marketplace and we’re already on site, the economics just don’t make sense for the customer to incur the cost, to remove and operator and bring an another one in unless the gap is of an age where it's depleted etcetera. So we don’t think displacement is a real risk for us on projects that are continuing where we’re already operating. Of course we have to keep our service levels up and do all good work in maintaining customer relations but where the competition occurs then is on new projects or new phases where additional assets are required and we’ve always had competitive tension there. That assets that are going to work and the CapEx that we have committed with customers on the other side. We are pricing at our historical paybacks and have been securing work. So to this point we haven't not seen any great deal of pricing pressure in the rental market, nor in our ancillary streams for our construction services, transportation or on our full turnkey lodging menu. So at this point, guys?
Troy Cleland: What you want to keep in mind as well is Black Diamond doesn’t always win projects based on just price. It's about the relationship with our client and it's also about some of the partnerships that we have in place as well.
Operator: Thank you. The next question is from Jon Morrison from CIBC World Markets. Please go ahead.
Jon Morrison - CIBC World Markets: Your comments about the select asset classes realizing lower demand, do you ultimately look at selling some of those higher density units in the current market and is the secondary market strong enough to absorb those from a sales perspective right now?
Trevor Haynes: The resale of assets at certain age within our model is an ongoing part of the business and those assets are within that age category and most of them have performed very well over their life for us. We’ve sold through the year and in previous years certain amounts and there are off-take markets. So the mandate here is to continue to get rental revenue out of them where we can or to dispose them if we can do so in an orderly and economic manner. So there is markets, Canada market is one in which the higher density dorms have either being disposed of or taken into rental as well as going into more remote northern markets for resource producers like shaft miners where they have a study construction, labor force over the longer course of their operations. And then there is some secondary rental platforms that use the higher density, older equipment to service anything from small diameter pipe, road building, seismic, forestry etcetera. And so yes we’re actively pursuing those channels to optimize terminal value on those assets.
Mike Lambert: Jon, just to give you a sense of numbers. On a weighted basis it's less than 5% of our assets.
Jon Morrison - CIBC World Markets: Just a follow-on on Dana's question in regards to the workforce accommodation weighted average contract profile. The nine months shouldn’t be interrupted as a very negative sign or anything along those lines, it's just a function of basically timing and ultimately if we were to look forward in Q1, Q2 of '15, you would expect it to be back above that 12 months range or something along those lines.
Mike Lambert: Yes it's essentially what I said earlier, if the contract is coming on stream because the January 1 contract it won't even be reflected in the fourth quarter but in the first quarter it will improve and then second quarter could well have some more interest coming on stream in April.
Jon Morrison - CIBC World Markets: Can you talk about the four fold increase in international non-rental revenue in Australia? And what drove that on a quarter-over-quarter basis?
Trevor Haynes: That’s assets sales in the quarter which there is a non-recurring event, that’s not to say we don’t sell assets where there is an opportunity to sell assets at a reasonable price but we don’t have visibility on recurring basis.
Mike Lambert: Actually it is on sale of assets that we’re on rent as I said in my commentary and so the outlook for Australia for the fourth quarter will be a little bit less because those assets came off rent.
Jon Morrison - CIBC World Markets: Does the '15 CapEx program the base that you released last night, does it include any expansion in Australia at this point?
Trevor Haynes: It does include a modest amount of capital expenditure in Australia. It's roughly 10% or less of the CapEx and that has to do with higher mobility, drilling and completions related camps which are under supplier or moderately supplied in the Australia market versus the larger base camps type of product that had been designed to (indiscernible) with the larger mining projects. And so it's part of us repositioning to where there is demand in that market and we have got firm commitments for some of those rapid deployment camps coming on to form latter part of this year and then as more of those asset coming in early next year.
Jon Morrison - CIBC World Markets: Given the fall-off in near term manufacturing demand in Canada, are you guys seeing any material decreases in new unit purchase prices or is it yet to come?
Trevor Haynes: On a trailing basis not much, however on a forward basis we would expect that we should be able to garner some better price.
Jon Morrison - CIBC World Markets: Have you guys witnessed any meaningful increase in producers wanting to self-own construction camps versus outsourced to third party in the last six months?
Troy Cleland: We had some asset sales early in the year 2014, there was one client that is going that way but most of our clients know. They typically own a base of camps and Black Diamond is usually the secondary source for their bubble of their construction projects and that’s where we come in anyway. So when they are looking at a 3 or 4 year horizon on the construction projects they usually don’t want to purchase it. It's mainly on your oil sand mining camps where they want to purchase.
Jon Morrison - CIBC World Markets: Fair to say, that was a one off event and if not an industry step change or anything along those lines. Last one just for me, just a follow-on Bradford's last, last question, the weakening outlook the north of Fort McMurray, what gives you comfort or confidence that given that some of your competitors are in no way shape or form near the same financial condition as you guys are and their outlook is meaningfully more weak, they don’t get nervous, dismantle some of those camps and bring them to your backyard and get much more aggressive in terms of pricing and trying to steal market share in either roll over existing camps or ultimately in the new project or additional phasing of project bidding role?
Trevor Haynes: Some of that equipment north of Fort McMurray is a more mobile format and so we’re aware that it's in the marketplace. We’ve got existing assets in our fleet that are available to go to work as well. So we’re competing with existing fleet against existing fleet where that makes sense and we’re competing new assets to new assets where that’s what the customer wants and/or needs. So we don’t see significant change based on the volume of assets available. Also quick to point out a lot of people are starting to suggest we purposefully are not in north of Fort McMurray, our longer term view is that that resource will continue to be developed and continued to be drilled further and further north and north-east of Fort McMurray and that the camp business will be needed for many years to come. The oil sands is the second or the largest oil resource on the planet. So when opportunity is there we look to participate north of Fort McMurray as well based on the type and format of projects that have been underway in the last few years, it's not matched our risk profile. So at this point in time we have a lot of space rentals assets north of Fort McMurray that’s through our BOXX Modular platform we have got 100s of buildings working on these project sites and we foresee that continuing on. But we don’t have any camp assets. And we’re not yet any seeing nor do we predict a meaningful displacement in the 811 corridor based on what's happening north of Fort McMurray.
Operator: Thank you. The next question is from Kevin Lo from First Energy Capital. Please go ahead.
Kevin Lo - First Energy Capital: Just two very quick questions, the first is the 2015 guidance you provided basically flat to up in terms of revenue and EBITDA, is that contingent and the full deployment of your announced 2015 CapEx?
Mike Lambert: Yes is the short answer but we’re pretty confident we will deploy that capital.
Kevin Lo - First Energy Capital: Okay, and in-line with what I think the opening remarks were in terms of the ability there to recontract camps, at prevailing rates essentially or is there a rates that you guys have before -- are there camps that you think that are going to be an issue as we go forward in 2015 where the appetite or the market for those camps are going to be relatively limited?
Trevor Haynes: We have got a big enough platform now and we work on numerous project, so there is always a project that is coming to completion or it is ramping down manpower and assets coming back for redeployment in our system and that’s what our team is focused around is continuing to match those assets with the next opportunity. From time to time we don’t have any meaningful project terminations coming where we think the asset won't be required on that project on a renewal basis but all of our contracts are expiring at any given time and all of our customers are working to get their construction projects done. So depending on what the market is like as assets come back to us they can from time to time be difficult to redeploy and increasingly because of the preference for higher amenities perhaps with higher quality amenities and the larger format of rooms and private washrooms as the older fleet rolls over in the industry as a whole, that’s where we will see increased difficulty getting to work just to be very straight forward about.
Operator: Thank you. (Operator Instructions). The next question is from Jeff Fetterly from Peters & Co. Please go ahead.
Jeff Fetterly - Peters & Co: Just a couple of quick ones, you said earlier that 1% to 2% of the current fleet would be those lower quality dorms or less marketable assets, do I hear that correctly?
Mike Lambert: I think I said on a weighted basis it's under 5%.
Jeff Fetterly - Peters & Co: Sorry I was referring to Trevor's comment earlier.
Trevor Haynes: Well the influence on the utilization should be clear of our fleet of higher density, so 49 and 44 man dorms. We have many of those continuing to work and generating rent for us. So two different metrics that Mike and I are referencing, one is of our 81% utilization in our camps fleet right now, what is the non-utilized higher density dorms represented in that and we’re saying, the difference there might be 2% or 3% I believe on a weighted basis and what Mike is indicating the total current asset value of the fleet about 5% of the asset value would be in the highest density format which would be the 49s.
Jeff Fetterly - Peters & Co: On the resale side, what movement have you seen in terms of potential realized pricing or metrics in the secondary resale market for those types of assets?
Trevor Haynes: We do continue to track against the metric of recovery of original capital cost and Jason you have done some work on that.
Jason Zhang: Yes it's continuing to be very sticky here in 2014, the last significant sale would have been kind of mid-2014 in the second quarter and then those have been aided around 80% to 100% of original capital cost.
Jeff Fetterly - Peters & Co: But do you expect that the market has shifted since mid-2014?
Trevor Haynes: The more current sales which are more one dorm at a time, we’re still -- we would still be within that range perhaps closer to the 80% of original capital cost. It depends on what we’re selling. The newer assets where our customer has gained visibility for their base load of labor over the operating longer operations of their projects, garnered closer to original capital cost whereas some of the older fleet that’s worked for us for quite some time and it's in those higher density formats. We would be -- our expectations on recovery original cost [ph] as they get older the cost of those assets on original capital cost basis is significantly lower than current replacement cost. So we’re still able to gain, garner somewhere in that 80% range.
Troy Cleland : And I think another useful data point would be the sale in Australia which obviously is a very weak market. That would have been closer to 100% of capital cost. So just to give you a flavor of -- you know it certainly depends on the customer and the product and the time and place.
Mike Lambert: And maybe I will just add to that that in no cases it's anywhere close to our net book value.
Trevor Haynes: Yes rarely we sell below net book value unless it was an odd asset, it doesn’t have a much of a market for it.
Jeff Fetterly - Peters & Co: Of the 2015 capital program, how much have you earmarked at this point for U.S.?
Trevor Haynes: Well 80% of that is going to go to our structures business unit and the U.S. gets blended in with our camps and BOXX. So in terms of waiting we might be in the 20% to 30% averaged.
Jeff Fetterly - Peters & Co: Sorry that’s 20% to 30% of the 80 million or the 85 million?
Trevor Haynes: Oh you’re asking about the current firm commitment?
Jeff Fetterly - Peters & Co: I'm asking if the $85 million for '15 in dollar terms how much do you expect it will end up in the U.S.? If that 20% to 30% of the 85 million or is that of a 20% to 30% of the 80% number that you just mentioned?
Trevor Haynes: Out of the total, okay. It will track this year's blend which is 2/3rds Canada and the balance of the third more in the U.S. and less in Australia.
Jeff Fetterly - Peters & Co: Okay. And just a clarification point Mike, your comment at the beginning of the call about the NCIB [ph] so your target in the near term is about 2 million shares to repurchase?
Mike Lambert: Yes and that’s what I was trying to convey, during the blackout we gave very specific instructions at how much to acquire, coming out of blackout now and of course we can now continue to change those instruction but our short term in cash is actually to stop at 2 million and then -- but we will keep an eye on the share price and we may opportunistically increase that.
Jeff Fetterly - Peters & Co: How do you guys think about the threshold from a buyback standpoint in terms of price?
Trevor Haynes: Well you know we finally found after looking so hard for an acquisition that suited us and to buy a strong revenue stream with high quality assets and a good management team below the CEO, that’s five to six times. We can't believe the deal we found so.
Mike Lambert: And we didn’t have to do any due diligence either.
Trevor Haynes: We view it as part of -- our part of choices for capital deployment and that needs to be approached in the same way as buying a capital asset. So in terms of certainty of return, etcetera and between dividend, share buyback, organic capital growth, and investing in producing assets and that's (indiscernible) before we have to choose from and at this point in time based on our value metrics we think this is a very accretive use a fortune of our shareholders dollars. I don’t think you will see a change in our personality or view with regard to that. If you look at us historically we fund between 1 to 1.5, we have been running well below that recently and so we think we have got the flexibility to do it and not have to make a choice of great opportunities for investing in organic fleet where it would come along such as an LNG project, we don’t want to have to make the choice. So we’re looking at it through that lens if you will, Jeff.
Jeff Fetterly - Peters & Co: And what multiple do you think this company is overvalued or not worth buying?
Trevor Haynes: We probably decide to wait if we got upto 10 times billing [ph]. I'm just joking, don’t take anything out of that.
Operator: Thank you. The next question is from Brian Pow from Acumen Capital. Please go ahead.
Brian Pow - Acumen Capital: I just had few questions, first of all just looking at sort of the remaining revenue for the logistics segment, given that you’re sort of going into some day business, should we expect to see that charged or how should we be looking at that logistics backlog?
Mike Lambert: Q4 should be quite strong. We’re gaining some momentum on revenue and earnings in Q4. Q1 is the big number for logistics, Q4 is a strange quarter for logistics, we have the Christmas season. You lose half of the month in revenue base because the camps aren't occupied. But we’re gaining in managed beds and occupancy levels are quite high as they were in Q3, so yes we’re seeing meaningful uptick in Q1.
Brian Pow - Acumen Capital: Second question just related to Q4 with your push to get your '14 budget spend, would it be reasonable to assume you’re going to have a pretty meaningful level of non-rental revenue.
Trevor Haynes: So the onetime operations of positioning of the new assets coming in.
Troy Cleland: The camp that we alluded to the most here today up in Dawson Creek, we’re hoping to sort of gain occupancy in early 2015. So in order to do that the majority of the operations to get that camp in place will take place here in Q4. So we will see an uptick there and other onetime revenues there is a lot of new projects for the BOXX Modular platform that will realize onetime from the install and operations from that.
Trevor Haynes: So Q4 does look stronger for onetime operations than Q3. But the caveat we put next to that is weather permitting, other contractors that have to prepare sites in advance. So it's a part of the business that’s impacted by many variables and complied by a couple of weeks, but fit perfectly into Q4.
Brian Pow - Acumen Capital: Yes I guess the question really relates to sort what we should expect at the margin line, so that’s helpful color. And then final question just again looking at your year-to-date numbers, you sort of pointed out that you had additional fleet sales so when we move forward to your FY ‘15 guidance how should we think of the fact that fleet sales sort of benefited FY ‘14?
Trevor Haynes: Well we anticipate a reasonable cadence of fleet sales in '15 as well. It's hard to predict exactly where they will occur on a comparative basis stronger-weaker, I guess what you might find helpful and I think what you would hear from us at this point is similar, maybe in different parts of the platform but there will be continued fleet sales as it's part of our business as our fleets matured and we’re touching many different geographies in parts of the marketplace. So we think we will have reasonable contribution from fleet sales in '15 as well as '14, that was the best way to put it.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back over to Ms. Sukut.
Tara Sukut: Thank you, Mary. And thanks everyone participating on the conference call this morning. We will now formally conclude this call.
Trevor Haynes: Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. Thank you for your participation.